Operator: Good day, ladies and gentlemen. Welcome to the KBR's Third Quarter 2011 Earnings Conference, hosted by KBR. This call is being recorded. [Operator Instructions] Now for opening remarks and introductions, I would like to turn the call over to Mr. Rob Kukla, Director of Investor Relations. Please go ahead, sir.
Rob Kukla: Thanks, Erin, and good morning, and welcome to KBR's Third Quarter 2011 Earnings Conference Call. Today's call is also being webcast, and a replay will be available on KBR's website for 7 days. The press release announcing the third quarter results is also available on KBR's website. Joining me today are Bill Utt, Chairman, President and Chief Executive Officer; and Sue Carter, Executive Vice President and Chief Financial Officer. In today's call, Bill will provide opening remarks and business outlook. Sue will address KBR's operating performance, financial position, backlog and other financial items. We will welcome questions after we complete our prepared remarks. Before turning the call over to Bill, I would like to remind our audience that today's comments may include forward-looking statements, reflecting KBR's views about future events and their potential impact on performance. These matters involve risks and uncertainties that could impact operations and financial results and cause our actual results to differ from our forward-looking statements. These risks are discussed in KBR's Form 10-K for the year ended December 31, 2010, KBR's quarterly reports on Forms 10-Q and KBR's current reports on Forms 8-K. Now I'll turn the call over to Mr. Bill Utt. Bill?
William P. Utt: Thanks, Rob, and good morning, everyone. Overall, I am pleased with KBR's execution and progress across our businesses. KBR's third quarter net revenue was in line with our expectations, and excluding the LogCAP project, is up 5% year-over-year. Now I would like to talk about some of the unusual accounting and tax impacts arising in the third quarter. During the third quarter, as a result of a scheduled reforecast of the remaining work on the Gorgon project, we increased our forecast man-hour backlog for the work we expect to perform over the remainder of the project. This backlog increase reduced the project's percentage of completions, and as a result, reduced our job income on the project. This reduction in job income was offset in part in net income attributable to noncontrolling interest. These amounts will be recovered over the remaining life of the project. Also during the third quarter, KBR received notice of an arbitration award of approximately $193 million in the Barracuda Caratinga arbitration. This award, for which KBR is indemnified by our prior parent, create a book tax benefit for KBR in the amount of $68 million. The award will be tax deductible by KBR when the award is paid. The indemnity payments to KBR are treated as a nontaxable contribution to capital for tax purposes. Finally, during the third quarter, KBR received information from the Australian receiver controlling our former investment in an Australian railroad venture, which allowed us to release a $24 million deferred tax liability related to our share of the Australian railroad investment. As a result of these impacts, as well as the continuing strength of our business, our 2011 guidance is $3.15 to $3.30 per share. Now let's talk about KBR businesses. KBR's backlog at September 30 was $11.7 billion. Compared to the prior year third quarter, KBR's job income backlog has increased 11%, while revenue backlog is down 5%. Compared to the last quarter, job income backlog increased 1% despite a 2% revenue backlog decline. Approximately 75% of the revenue backlog decline this quarter was related to a reforecast of the Escravos' estimate to complete, and FX impacts. Quarter-over-quarter, Hydrocarbons' backlog declined $674 million primarily due to project work off. IGP's backlog was up $313 million, led by work additions on the LogCAP III and IV projects, including $300 million of definitized work for our Base Life Support task order for the Department of State's mission in Iraq, as well as the award of a construction services contract for the Plant Radcliffe coal gasification project in Mississippi. Services backlog increased $21 million from the second quarter as a result of the Plant Scherer and other U.S. construction project awards. We also continue to see increased activity at our North American-focused businesses. Now I would like to comment on a few of our projects. In Australia, KBR and our partners remain actively engaged in post-FEED and pre-FID activities on the impacts of this LNG project, and the open book tender discussions continue to proceed towards a fourth quarter 2011 FID. At the Pluto LNG project, KBR continues to provide support to Woodside on the Pluto foundation project on an as-needed basis and is currently performing various additional studies on the proposed expansion project. At the Browse LNG project, the FEED is wrapping up, and we expect to move to a big quality FEED extension during the fourth quarter. Permitting and industrial relations activities are ongoing, and the project continues to anticipate a 2012 FID. For the fourth train on the Gorgon project, pre-FEED activities continue with an expected move into FEED in the summer of 2012. KBR's Perth operating center has been instrumental in supporting the multiple opportunities we see in the Australian LNG market. In North America, for the Kitimat LNG project, pre-FID site construction activities commenced during the third quarter, and FEED activities are expected to be completed during the first quarter of 2012. We continue to be advised that the project's FID is expected during the first half of 2012. In Africa, for the Anadarko LNG project to Mozambique, pre-FEED is underway and we expect the FEED tender to take place in the coming months. In Oil and Gas, KBR is seeing a higher level of activity than at any point in 2011. In August, KBR announced an award from Hyundai Heavy Industries Co. to perform engineering design and procurement services for the BP Quad 204 Floating Production Storage and Offloading project to be located west of the Shetland Isles. KBR is also providing pre-FEED services for the Hod Re-Development Project, operating on behalf of BP and HESS NORGE AS. In the Caspian, KBR's performing pre-FEED work on the Shah Deniz 2 development, with an expectation to moving into FEED in 2012. We're excited at the opportunity to potentially provide from our London and Kazakh offices both onshore and offshore services, including construction management services on this project. KBR is also proposing to provide offshore services on the Inpex LNG project as a subcontractor to a Korean fabricator. Finally, KBR is only now beginning to see a return of new activity in the U.S. Gulf of Mexico. At Downstream, we expect our level of activity on the Lobito refinery project to ramp down in November and continue at a lower level through February as Sonangol continues to study a range of financing structures and alternatives. KBR is also continuing to perform early-stage EPCM work and physical site development. We anticipate FID for the Lobito refinery to occur shortly after the conclusion of Sonangol's analysis of financing alternatives. KBR intends to execute this project from our offices in Houston and Luanda, Angola. On the Sadara project, our FEED work should be completed this year, and we continue to provide coordinating PMC and pre-EPC support activities. In North America we are seeing an increase in EPC opportunities driven by competitively priced natural gas for new ethylene and ammonia facilities and recently renewed a 3-year master services agreement with DuPont for engineering procurement and construction services. KBR's technology business unit continues to grow rapidly and had another solid quarter. Revenue increased 27% and job income was up 21% compared to the prior year third quarter. At our North American Government Logistics business unit, KBR received $22 million in LogCAP III award fees with performance ratings of very good to excellent for the completion of major projects and base closures on schedule and under budgets. KBR was also cited for exceeding operational readiness requirements with the customer satisfaction ratings of very high. We expect our final LogCAP III award fee in the fourth quarter from a pool of $5 million. During the third quarter, KBR received $423 million of additional funding for LogCAP III task orders for work through the end of the year, as well as task orders under the LogCAP IV contract for Base Life Support services for the U.S. Department of State in Iraq. The LogCAP IV task order is valued at over $500 million for a one-year base, plus one option year. For the International Government, Defense and Support Services business unit, KBR was selected by the U.K.'s Foreign & Commonwealth Office to provide life support, vehicle maintenance and healthcare services across Iraq and Afghanistan. The 3-year contract also provides the Foreign Commonwealth Office with options for vehicle maintenance in Sudan and Pakistan. In Afghanistan, our NATO work ramped up to full activity this quarter, and our work supporting the U.K. Ministry of Defense also increased. At KBR's Infrastructure and Minerals business unit, Rio Tinto awarded KBR a $46 million EPCM contract for power and fuel supply projects to enable Rio Tinto to increase iron ore production capacity in Western Australia. We are also seeing an increase in infrastructure spending in the Middle East. At Power, I am pleased with our 2011 new awards totaling almost $800 million including the Solid Waste Authority of Palm Beach County, Plant Scherer, and Plant Radcliffe coal gasification project. KBR has been performing detailed design for major portions of Plant Radcliffe and this quarter was awarded the project's construction contract. Plant Radcliffe represents the first large-scale installation of our TRIG technology for power generation in the U.S. Over the past year we have systematically reinforced our power engineering capabilities, leading to a series of successful project awards. KBR is now recognized in the utility community as an EPC player compared to being perceived as a construction-only provider at the time KBR acquired BE&K. Currently, KBR is tracking approximately $3 billion in power-related project opportunities in the United States, which we expect to move forward over the next 2 years. Approximately $1 billion of these projects should be awarded by mid-2012. KBR is also seeing several opportunities to participate in the engineering and construction of new power generating facilities in Iraq, as well as in the United Kingdom through our PMC contract with Scottish and Southern Energy. Building on my earlier comments related to a recovering North American market, Services' new award and adjustments bookings this quarter are the highest since the first half of 2010. At the end of the third quarter, new awards at Services represent 170% of the total new awards in all of 2010. These new awards will enable KBR to increase our direct-hire U.S. construction staff by over 1,700, or an excess of 300% during 2011. I am particularly pleased with how KBR has successfully combined our engineering and construction capabilities to an expanded and integrated EPC offering in the North American marketplace. This success is most evidenced in our Power and Downstream markets in North America and features combined engineering and construction awards for DuPont, Southern Company, CARBO Ceramics, Molycorp, KiOr, Praxair and the Solid Waste Authority of Palm Beach County. Finally, and in addition to the growth in KBR's field construction teams, KBR also continues to grow our resource center headcount, which at the end of the third quarter was up 9% compared to the prior year third quarter and up 3% from the June 2011 quarter. Now I'll turn the call over to Sue. After Sue's comments, I will comment on KBR's market outlook before turning the call over to questions. Sue?
Susan K. Carter: Thanks, Bill. Consolidated KBR revenue totaled $2.4 billion, a decline of $68 million, or 3% from the prior year third quarter. As expected, LogCAP revenue decreased $150 million compared to prior year third quarter. Positive revenue contributions included a 15% revenue increase from the Hydrocarbons group led by Technology, up 27%; followed by Gas Monetization, up 19%; Oil & Gas revenue, up 9%. Infrastructure and Minerals' revenue was up 122% compared to the prior year third quarter primarily related to the addition of project revenue related to the R&S acquisition and recently awarded projects. International Government, Defence and Support Services revenue was up 7% over the same period. Consolidated operating income was $138 million in the third quarter of 2011, compared to $163 million in the third quarter of 2010. The major drivers are: Gas Monetization job income is down $7 million from the third quarter of 2010 with Skikda, Escravos and Gorgon progressing nicely; favorable resolution of a contract dispute for taxes and higher subcontractor activity improves Skikda results by $8 million; and the addition of man-hours on Gorgon caused a percent-complete dilution on the project, which was part of an overall $13 million reduction in job income. The dilution is a function of the accounting, not operating performance, as our progress on the project remains solid. Downstream job income is down $5 million compared to the prior year third quarter, primarily related to the completion of the Sonangol FEED at the end of 2010 and the subsequent transition to a lower value bridging contract, the Shaybah project completion in the third quarter of 2011 and Saudi Kayan completion in late 2010. North American Government and Logistics had award fees of $34 million in the third quarter of 2010 and $22 million in the third quarter of 2011. The $12 million difference is related to the volume of the award fee pools. Performance was consistent with good scores in both periods. On the LogCAP project, job income related to improved margins for the March 2011 fixed fee conversion was offset by lower work volumes. Roberts & Schaefer booked $4 million of cost increases on a legacy Indonesian project in the third quarter of 2011. The year-to-date cost increase on this project is approximately $10 million. Services job income was down $14 million, driven by volume reductions primarily in U.S. construction and lower activity in our MMM joint venture. Net income attributable to KBR for the third quarter of 2011 was $1.22 per diluted share compared to $0.62 per diluted share for the prior-year third quarter. Favorable discrete tax items added to solid operating performance for the third quarter of 2011. Let me share a few other financial highlights. General and administrative expenses for the third quarter of 2011 were $61 million or 2.6% of revenue. KBR continues to focus on and improve performance in G&A expenses. Our full year 2011 corporate G&A expenses are expected to be approximately $220 million. Labor cost absorption income was $6 million in the third quarter, flat compared to the second quarter of 2011 and up $2 million for the third quarter of 2010. Labor cost absorption income improved from the prior year third quarter, primarily related to higher headcount in the labor resource pool, as well as higher chargeability and utilization in several of our engineering offices. As Bill stated previously, our headcount in the labor resource pools at the end of the third quarter of 2011 was up 9% compared to the prior year third quarter and up 3% from the June 2011 quarter. In the third quarter of 2011, our overall effective tax rate was a negative 40% and our effective tax rate, excluding discrete items, was approximately 27%. We previously guided this effective tax rate without discrete, in the 30% plus or minus 2% range, so we were near the lower end of the range for the third quarter. We've previously discussed the positive discrete tax item for our FreightLink joint venture in Australia. We guided a 22% to 24% tax rate for 2011 based on the results of the first quarter of 2011 plus the resolution on this item in the last half of 2011. We released $24 million in deferred tax liabilities, which was in line with our expectations. An additional favorable discrete tax item related to the arbitration award in favor of Barracuda Caratinga received in September 2011 was $193 million. For book purposes, the Halliburton indemnification nets out the cash and P&L items. The arbitration award payable to Petrobras will be deductible for tax purposes when paid. The indemnification from Halliburton will be treated for tax as a contribution to capital and accordingly is not taxable. The net positive tax benefit from the Barracuda Caratinga transaction is included in the third quarter tax provision. For the full year of 2011, we anticipate that our overall effective tax rate will be in the 6% to 9% range including discrete items. Our effective tax rate, excluding discrete items, for the full year 2011 is expected to be 28% to 30%. Net income attributable to noncontrolling interest in the third quarter of 2011 was $6 million compared to $20 million in the prior year third quarter. We discussed the labor hour adjustments for Gorgon, which impacts job income as a consolidated joint venture. The portion of labor hours attributable to our partner reduces NCI by $17 million for the quarter and is the primary driver in the quarter-over-quarter variance. We expect the fourth quarter of 2011 to return to normalized rates. I would like to discuss KBR's backlog in a bit more detail, building on Bill's earlier comments. The revenue backlog as of September 30, 2011 was approximately $11.7 billion, down 5% from a year ago and down 2% compared to the sequential quarter. Overall, the backlog portfolio mix at the end of the first quarter was 77% cost reimbursable and 23% fixed price -- that was the third quarter, was 77% cost reimbursable and 23% fixed price comparable to the 76/24 split in the second quarter of 2011. Next, I will discuss liquidity in our balance sheet. Total cash provided by operating activities for the first 9 months of 2011 was $312 million compared to $541 million provided by operations for the first 9 months of 2010. Total cash provided by operating activities in the third quarter of 2011 was approximately $89 million. Our focus on cash flow is producing results. At the end of September 2011 our balance sheet remains strong, with cash of approximately $690 million, which included $205 million associated with our consolidated joint ventures. The $690 million in cash, down $22 million compared to the sequential quarter, also reflects a return to shareholders and capital investment of $86 million through share repurchases of approximately $59 million, capital expenditures of approximately $19 million and approximately $8 million in dividends paid. We repurchased 903,000 shares under the sweeping program and 1.2 million shares under our August authorization. The average price per share paid was $27.62 for the third quarter. For the first 9 months of 2011, we repurchased 3 million shares at an average price of $30.12 per share for $90 million in cash. Finally, I would like to reiterate that KBR's full year 2011 earnings per diluted share guidance is now in the $3.15 to $3.30 range, which reflects a full year 2011 effective tax rate of 6% to 9%. Also we anticipate the full year 2011 corporate G&A expense to be approximately $220 million. And for 2011, KBR expects LogCAP revenues to be at the high end of our revenue guidance of $1.6 billion to $1.8 billion. And now I'll turn the call back to Bill for his final remarks.
William P. Utt: Thanks, Sue. I'd like to provide KBR's outlook for our markets and businesses. From a market perspective, we see continued stable work in the hydrocarbon space with ample opportunities in LNG, offshore oil and gas, and in the Downstream markets. We are seeing opportunities evolve to allow KBR to take a bigger share of the project spend through both increased local presence on our projects, as well as increased EPC opportunities, either alone or with other contractors and fabricators. We see more of a mixed bag in our nongovernmental market, with increased spending in Power, Middle East Infrastructure and in Minerals. We are a bit less certain about the evolutions at our Government Services businesses, where our U.K. operations in Afghanistan appear stable over the near term, while we anticipate a decline in our Iraq business as the mission in Iraq shifts from a military focus to a diplomatic focus. In our predominantly North American-focused Services businesses, we are in the midst of a solid ramp-up in U.S. construction and EPC opportunities. We see good opportunities in Canada and in the turnaround maintenance markets, but see a slow recovery in our building group markets as a result of a falloff at healthcare and education facility construction opportunities. From a regional perspective, we see strong opportunity in Australia, solid opportunities in the Middle East and a continuing recovery in the North American markets. We also believe we are seeing the early stages of new investment in infrastructure in Africa. For KBR, we have booked and are continuing to look at additional opportunities to book additional work for our front-end engineering offices, principally in Houston and London, as we complete over the next several months the work related to Gorgon, the early work on the Lobito project and Sadara FEED. We see our high-value centers continuing to execute work coming out of these front-end engineering offices. We are also pleased with both current, as well as expected future growth of our field teams in Australia, the Middle East and in North America, and we expect to see this growth amplified by the additional fieldwork we expect to realize on the Inpex project. We will be providing our 2012 earnings guidance in January, when we complete our outlook for the next calendar year. Now we'll take your questions. We ask that you please limit your comments to one question and one follow-up. Thank you.
Operator: [Operator Instructions] And we'll go first to Steven Fisher of UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just on the Gorgon man-hours. I want to clarify, was the increase essentially a customer-driven scope increase? In other words, this is a good thing on the long term or is this just something different that's not a positive?
William P. Utt: No, I think, Steve, it was driven by -- we're now 2 years into the project. We've started getting out into the field. I think we've been able to really understand what the logistics issues and capabilities are surrounding the projects, what it takes to construct a project on a fairly environmentally sensitive area of Barrow Island and just get our arms around better the enormity of this Gorgon project, which when you look at just the onshore scope, is probably -- it was initially in the $24 billion range from what the owners had announced at the commissioning of the project in late 2009. So I think it's more evolutionary for us, just based on a better definition of the project and the work to be completed to bring this project to fruition.
Steven Fisher - UBS Investment Bank, Research Division: It'll ultimately generate more profit dollars as a result of the more -- the higher man-hour incurred?
William P. Utt: Oh that's correct, yes. Yes, it's really good news despite the very difficult accounting. And I've made comments in our past calls that there is a FEED pool out there that we recognize was a percentage of complete basis. And because of the expanded amount of man-hours, our percent complete went down during the quarter. And that gave rise to the adverse result at the job income line, which was made up at the minority interest line. So it's really good news with a very, perhaps, counterintuitive accounting outcome. But that's why we spend so much time in both the release and in our comments today trying to -- you get the proper characteristic of what this is, and while it was a little bit confusing this quarter, it overall is good news for KBR because we will be doing more work on this project and overall we should be making more income because of the increased man-hours.
Steven Fisher - UBS Investment Bank, Research Division: And I heard the $17 million impact, I think it was on the minority interest. Did I miss what the number was and the impact on the margin in Gas Mon [Gas Monetization] job income?
Susan K. Carter: It was $13 million.
Steven Fisher - UBS Investment Bank, Research Division: $13 million? Okay.
Susan K. Carter: Yes.
William P. Utt: There are other impacts that going on at Gorgon that were not a percentage of complete that dealt with IGP, and so there's just a lot of moving pieces we looked at this quarter, including some of the FX issues that I talked about in my comments on the backlog, when we talked about some of the drivers for the declining backlog during the quarter.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then, I guess the second question would be in terms of the Iraq transition, I wonder if you can walk through how that's going to work for you, how much staff do you have that needs to come out, how much equipment. And basically are you going to have to incur material cost related to this that will have a notable impact on the margins as we get into early 2012?
William P. Utt: Well, I think we're still working through that. Our headcount in Iraq, was down to 10,000, give or take, towards the end of the third quarter. Whatever costs we incur in closing down the bases that will be closed down, remediating the sites, it will all be cost reimbursable with the U.S. Government pursuant to the LogCAP contract. We do have some of the awards. I believe, we indicated we booked $300 million on the LogCAP IV award related to the State Department mission. But we're still going through, trying to dimensionalize what that means, and as we get to January, we'll be able to comment as to, again, what our revenue guidance is related to LogCAP because it is a -- while it is shrinking, there's still a lot of moving pieces for KBR.
Operator: We'll take our next question from John Rogers at D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Bill, in the last couple of months, when you guys have been out, you've been kind of giving us an update on the timing of the project awards, some of the big major projects. Any changes there that we should be thinking about in the fourth quarter in terms of the pace as we go into 2012?
William P. Utt: I think there are some, John. I think the Inpex appears to be on schedule, as we've talked about. That's good news for KBR and its partners. Kitimat continues to show good progress. We started some of the site development activities in the third quarter, which was a good sign. The Pluto expansion projects, we were continuing to support Woodside and then in the third quarter increase some of our resources to support them on the foundation project, and I think we're really looking today at moving forward on Pluto 2 and 3 at the conclusion of Pluto 1. And so they're still working through some issues that they talked about, but we're ready, able and willing to support them any way we can. Gorgon IV is progressing on an expected basis. Browse, based on what we hear, is still on track, although when you look at the owner group there, with 5 or 6 owners of a project of that size, I'm sure there'll be a lot of owners issues that have to be talked about before they commit to an FID. But based on what we're told today, it's middle of '12. We talked a little bit about the -- it's still a very early stage in Mozambique with Anadarko, but that's a pretty big find, and I think we're very excited to have the opportunity to get back in Africa and look at some more LNG projects. Sonangol, that's probably one that we're watching the -- they're doing a pretty thorough job exploring what their opportunities are to bring in partners on this refinery or to tie some investment in those refineries to some of the offshore leases that they're in the midst of issuing. And so we're watching and kind of waiting to see where they go on that. At one point they had looked at some build-on on operating transfer options, which are coming to a close. We've got visibility in doing work for them through the end of February by our estimation. I'm sure we'll learn more over the coming weeks and months from them, but I think for us, it's a wait-and-see to see where Sonangol lands on that. All the fundamental drivers and benefits that we thought existed with respect to the refinery still exist for Angola, and that's the one that's probably we have the least visibility, given what's going on today. And I'm sure we'll have more visibility over the coming months, but today that's a little bit of a question mark for us compared to our prior updates.
Operator: We'll take our next question from Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners Inc.: Just curious. Kind of looking out in your pipeline today and seeing the potential orders, it sounds like there are certainly a lot of opportunities. Do you anticipate that Q3 will mark the trough in regards to kind of backlog for this kind of cycle here?
William P. Utt: It's hard to say. I know we expect Inpex to go forward in the fourth quarter, which will obviously have a very positive impact for us. I think some of the other projects in the pipeline will go forward. A lot of what we're seeing evolve, we're talking kind of mid-12, and so you could be in the third quarter depending on where some of those go. But I think we're seeing the opportunities continuing to march towards us with Inpex being the first and these other opportunities on the horizon. We are optimistic about our ability to grow backlog in a number of our businesses, the Infrastructure and Minerals business, Power, the Hydrocarbon sector. The work off in LogCAP, we'll have to see how that plays out. And that's probably a little bit of uncertainty about calling this a low point in the backlog because we did have a pretty good bump this year, but those several hundred million dollars of backlog add could work their way down to a little bit lower number. So I wouldn't call it a trough, but I feel pretty optimistic about where we're headed.
Unknown Analyst - : And secondly just on the Power markets, you said you expected about $1 billion of awards coming over the next, say, I guess, 9 months or so. Is that more environmental-retrofit related as it depended on the rules in IT and cash was [ph] going forward as it's written?
William P. Utt: Well, I think it's a combination of things. I don't have a precise breakdown, but it does involve new combined cycle construction to replace either environmentally, economically or physically obsolete coal plants. A lot of the utilities have announced some retirements there. But there's also some environmental spending we're anticipating, so it's a mixed bag.
Operator: And we'll take a question from Andy Kaplowitz with Barclays Capital.
Andy Kaplowitz - Barclays Capital, Research Division: So just one quick clarification. First, on the Gorgon POC in the quarter, it actually had a positive effect on your overall earnings in the quarter when you net out the noninterest expense and the above-the-line stuff?
William P. Utt: Well, I'm trying to read into your question. Would I call the short falloff at consensus on Gorgon, no, I probably wouldn't. We had some FX issues on there. We had some changing IGPs. And I think the result -- we had a net positive result in Gorgon. It probably wasn't as much as we would have liked for the work we were doing, but given the changes, it just created a lot of confusion on the P&L.
Andy Kaplowitz - Barclays Capital, Research Division: Got you, so a good reading to my question. So the issues in the quarter were not really Gorgon POC. I mean, that makes it complicated, but it was more around FX. You had that Roberts & Schaefer charge in there that was small, but it was in there, and maybe a couple of other things, is that fair?
William P. Utt: Yes, I think that's a very appropriate way of looking at our quarter. I think -- we think we'll return to our normal pace next quarter, but it was one that we had a lot of things going on, but net-net, we would have liked to have done better for those items that we talked about.
Andy Kaplowitz - Barclays Capital, Research Division: Got you. Okay. Bill, just -- I'm going to try this question and you will see what kind of answer you can give me. So as I look at 2011 versus 2012, you've got a lot of big projects out there, but we've got Lobito ramping down, Sadara ramping down, so is it possible that we'll see some sort of earnings pause with a re-acceleration sort of later next year and in '13 at KBR?
William P. Utt: Well, I think we've got to look our mix of work. One of the questions we've talked about, Andy, has been how we're going to do all these LNG projects. And I think in the past I've talked about how the different projects were pursuing do not create labor shortages for us. The Inpex project is going to be a big project for us. That's going to be primarily the fabrication oversight and the construction management, which we're going to spend a lot of hours on. And I think that doesn't cannibalize some of our front end. I did make some comments about wanting to refill London and Houston, and we've done a good job with the Gorgon project moving through and during 2012 to move largely out of those offices. And we have some work to do. We've got some proposals on the table, and we'll see where that takes us. But I'd like to stay away from addressing your question specifically because we haven't been through our budgets and I really can't comment how all this stuff knits together, particularly with the amount of work we're expecting to see in LogCAP in the first part of the year as we take apart the operations for the military in Iraq and build up the diplomatic missions.
Andy Kaplowitz - Barclays Capital, Research Division: I figured you'd shy away from that. But okay.
William P. Utt: Good try.
Andy Kaplowitz - Barclays Capital, Research Division: Just on Lobito itself, it's obviously slipped quite far. What's the conviction level that they do figure out financing and go forward?
William P. Utt: So if I didn't answer your question, you get a bonus question? I think, Andy, the project, in my mind, is going to go forward. And this is Sonangol's first project without an IOC, and we've commented about when you get in and start to look at things maybe differently, then the discipline or the rigor that gets brought in at an IOC-ventured project. And so this is -- while it's a little bit disappointing to see them make their left turns and right turns along the path to get this project implemented, they really are asking the right questions of what's the best way for us to look at investing our capital as the Angolan Government in this refinery compared to the other needs that they have with their population and other investments that they're making outside of Angola. So it has slipped up. We wish it hadn't slipped, but we still, in our dialogue with the executives from Sonangol, most recently at the end of the third quarter, a little bit after, and they continue to demonstrate their commitment and they want to get it done. But they have to address some questions that their finance ministry has asked to make sure they are making the right decision. And so we're going to support them as best we can, and I believe we'll get some additional views from them during the fourth quarter.
Operator: And moving on, we'll go to Jamie Cook of Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Two quick questions, Bill. And sorry to ask the Gorgon question again, but we got surprised by McDermott this morning. Did you quantify the scope increase or man-hours increase and the actual currency headwind that you had in the quarter? And then my -- I guess I'll start off with that. And then I guess my second question is, Sue, is there any way you can help us with how much the legacy problem projects on a revenue basis were in 2011, and then what we think that will be in 2012? Because I'm assuming less revenues, that's going to boost your -- help your margins to some degree. So I'm Just trying to think through that as well.
William P. Utt: Well, on the Gorgon currency, Jamie, we did have a strengthening of the U.S. dollar relative to the Australian dollar during the period. It was a substantial contributor to the falloff in backlog that I talked about. And I think we said that about 3 quarters of the backlog decline was related to FX and a reduced estimated fleet on the Escravos, which for us is not bad news because there's no margin on that.
Jamie L. Cook - Crédit Suisse AG, Research Division: No, but was there an FX impact on the P&L? And then the man-hour increase or scope increase on Gorgon, could you quantify that?
William P. Utt: There were FX impacts on Gorgon both in the earnings and in the backlog.
Jamie L. Cook - Crédit Suisse AG, Research Division: And will you quantify that or no?
William P. Utt: I don't have that off the top of my head. And I'm not -- we will have to think about that, and if we do, we may make comments the next time we're together. We have not in the past.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And did you quantify how much the scope increased to the man-hours?
William P. Utt: No, we did not.
Jamie L. Cook - Crédit Suisse AG, Research Division: Can you or you won't?
William P. Utt: We probably won't because we don't want to get in and talk about discrete scope additions on individual projects.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And then just last question, can help us -- Sue, can you help with how much, like Escravos is forecasted to be in 2011, and I'm just trying to think how that runs off in 2012 and sort of, I guess, would be a positive contributor to your profit next year?
William P. Utt: I think, Skikda we're expecting that to be completed midyear next year. And Escravos, we're probably going to see that wind through the fourth quarter of next year.
Susan K. Carter: Jamie, to your question, as we look at the third quarter, the big projects in Gas Monetization in terms of the work for the quarter was Skikda, Escravos and Gorgon. And the Skikda and Escravos content at this point in time, and as Bill said, we're going to start winding some of these down, was heavier in the third quarter than what it was a year ago.
Operator: And we'll take our next question. We'll go to Chase Jacobson of William Blair.
Chase Jacobson - William Blair & Company L.L.C., Research Division: I just want to make sure I understand the tax issues in the guidance. The previous guidance, I guess, including the discrete items, had the tax rate at 22% to 24%, which assumed kind of a mid-20s tax rate in the second half of the year. If I back out the Barracuda and Caratinga benefit this quarter, it looks like the tax rate in the back half of the year is kind of in the high mid-teens. So is that $0.37 of discrete tax items that you had mentioned last quarter, I mean, is that closer to $0.50 now for the year?
Susan K. Carter: Well, I think the way to look at it is to take -- what we had built into the 22% to 24% was everything that we knew from the first quarter, from the second quarter and our outlook and sort of expectations, pending resolution of all of our research on the FreightLink issue. So all of those discrete items were in there. Then if you look at the Barracuda-Caratinga and the impact on that, the way to look at it and look at it with our filings is it's 35% of the award, which is under $93 million. So it's $68 million which translates into $0.45, as you look at that being an add to the discrete items.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. I'm just trying to get a sense of -- I understand the $0.45 there, but the additional $0.05 raise at the midpoint, how much of that is tax and how much of that is just better operations in general. It sounds like a little bit of a combination of both?
Susan K. Carter: It's a combination of both. And what we did, and I think this makes sense, is we took a look at everything that had changed from when we did the guidance in July operationally and with all of these tax issues, gave you the guidance for the new tax rate, as well as an overall look. So we narrowed the range and took it to $3.15 to $3.30.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. And then just on the -- I apologize if you already spoke about this, but on the Inpex project, can you give us a reminder of how that partnership may be structured and how that may play out in terms of backlog in revenue, assuming that project does go forward in the fourth quarter, like it seems to be doing.
William P. Utt: Yes, the venture is comprised of 40% JGC, 30% Chiyoda and 30% KBR. And our accounting for that project will be equity accounting, where we will be booking our share of the expected profits of the joint venture in the backlog, as well as the expected man-hours that we'll be charging the project as a service provider.
Operator: We'll go now to Joe Ritchie of Goldman Sachs.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: I just had a -- I'm going to follow-up on Andy's question from earlier and try and tackle this a little differently. I know that you're going to provide guidance for us in early January, but you had some significant, I guess, non-recurring items that impacted your year this year, obviously the tax items and also the LogCAP fees. If I try to back those out, I think I get, if my numbers are right, I get to a number of close to $2 billion [ph] to $2.15 billion [ph] in earnings in 2011. So right now, we're looking at fairly significant consensus expectations for next year. I'm just wondering if there's any potential one-time items that could benefit your company in 2012 from an EPS standpoint?
William P. Utt: Well, I think that we do have some one-timers that could be there. And obviously, we have several litigations and arbitrations that are pending that, if they get resolved, could be positive contributors. We have these resolution of legacy items out there that we think have taken some very prudent, and in some respects, conservative provisions on, and they are possible. But I can't, today tell you that they're going to show up, but we feel that at some point these items could show up and as we've seen in even some of these matters on LogCAP can show up favorably for us in future years.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Okay, all right. And then I guess my second question is really relating to the high level of oil and gas activity that you mentioned earlier. When you're thinking about your business today, do you feel like you are appropriately positioned to gain the type of share wallet you want to gain on the offshore markets, and if not, I mean, are you looking at opportunities to potentially grow inorganically?
William P. Utt: Well I think, we've -- my comments were very specific to the success we've seen on doing more EPC work as KBR. And so we're very pleased with the progress we've made in North America. We have looked and are continuing to look at other opportunities to do more EPC work overseas. I think we've got some steps we've taken. We probably will talk more about that at our upcoming Investor Day in November. But yes, we are looking to find out how we take a bigger share of wallet, particularly given the opportunities we see out there for KBR. And oil and gas is one very good area where we have recently been doing a lot of just topsides engineering work which is very good work. It's got a good margin, but it is somewhat finite in terms of the volumes you can get. And really we've had several opportunities that we've been working on and continue to work on, where we can do a broader scope. The Shah Deniz project -- Shah Deniz 2 project that I commented on. We're looking at doing a CM work and do others as a good example of some of these initiatives that we believe will give us a greater earnings potential, perhaps, at a lower job income margin for Oil & Gas but a greater earnings potential overall at KBR.
Operator: And we'll go now to Matt Tucker of KeyBanc Capital Markets.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Just wanted to clarify, excluding the POC accounting issue, and I'm sorry, this relates to the Gas Monetization margins in the quarter. And excluding the POC accounting issue, and assume that currency is kind of neutral impact in the fourth quarter, would you expect those margins to rebound to the recent run rate, call it kind of the 8% to 9% level?
Susan K. Carter: Yes, I think we would. I think this is a quarter, where you saw the messiness, and nothing that we see looking forward changes our progress or our performance on the project.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Okay. And then you guys sounded thoroughly upbeat in terms of your outlook for the Downstream end market, but it's been kind of lumpy in terms of awards over the past few quarters. I mean, it's relatively weak at this quarter. If you exclude Lobito, which obviously could make things extremely lumpy, when do you really expect to start to see a sustainable pickup in the Downstream award activity?
William P. Utt: Well, I think we're starting to see a little bit more activity in the North American markets. I think people are spending money. We've had some good awards, in the CARBO Ceramics award, the construction of the base lube oil plant in Pascagoula for Chevron and others. So we're seeing that activity creep up. We think we've got our positioning and pricing of our services at market, so we ought to be good there. Challenge for us, I think the challenge is where do we find those opportunities internationally to really sustain the size of the business and ultimately grow this business going forward. And it has been a little bit lumpier on the international side. We still think, the Middle East, in particular, is a good example where we maybe haven't seen as many awards coming out since the first part. But we do see a backlog of work out there. We see opportunities evolving and coming forward in Iraq, in Kuwait, Saudi. We think there'll be additional Downstream projects in Qatar with the completion of the GTL and the liquids facility that we're involved in. So we're pretty optimistic about what we see in the Middle East, and I think it gives us a sense that there'll be more activity for us in the coming 6 to 12 months than we've seen in the last 6 to 12 months.
Operator: And we have one more caller queued up at this time. We'll go to Robert Connors of Stifel, Nicolaus.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: It seems that a lot of resources, particularly in London and Houston, are starting to get full on a lot of this LNG FEED work. So are you starting to see that pull up some of the FEED pricing in the industry for some of your other end markets, particularly in some of the Downstream in petchem [petrochemicals] end markets?
William P. Utt: Not really. The FEED market is a market where you're using very capable people to do very high-level, conceptual P&ID kind of work. And we haven't seen the degree of margin pressure on the FEEDs that we have seen on the broader assignments where you're putting less differentiated personnel. And so we see the FEED -- there are FEEDs, as I see them, are staying fairly consistent to what we've historically done. The real competition in pricing has been when you have hundreds of people on projects that are maybe a little bit less differentiable as a group compared to your FEED people.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then also on the market, a lot of couple of new projects. Talking about GTL, can -- is that of interest for you going forward or are you just more focused on the LNG aspect of it?
William P. Utt: No, we're very interested in GTL. We're involved in 2 of the 3 projects. I think there's Oryx, Escravos and Pearl, and we're involved in 2 of them. We think it's a -- it plays to a strength of KBR, which is process engineering and taking apart molecules and atoms and reassembling them. And yes, we like GTL as much as we like LNG. Our technical guys like it even more because there's more fun stuff to do technically than LNG.
Operator: And we have a follow-up question from Matt Tucker, KeyBanc Capital Markets.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Just a bit curious on the Roberts & Schaefer project, where you took the charge. Is that project complete or when is it expected to be complete? And could it continue to be a similar drag on earnings going forward?
William P. Utt: Well the Roberts & Schaefer project, I believe, should be completed first quarter of 2012. The issues we found were soils issues, where the soils issues weren't as we had expected. And unfortunately, a motor was dropped that was being delivered to the site by the freight company, which caused us to have to incur additional costs related to either repairs or replacement of that equipment. But we think we're drilling to an end, and certainly as we look at matters like soils issues and some of the delivery logistics, I think KBR can add a lot of strength to how Roberts & Schaefer is doing that. And I think they'll move up to the higher level of performance we've seen to match the rest of KBR.
Operator: At this time there are no further questions. Mr. Kukla, I'll turn it back to you for any closing comments.
Rob Kukla: Great. Thank you for joining us today, and as always I'll be available for the rest of the day for follow-up calls. Thanks very much. Thanks.
Operator: Once again, ladies and gentlemen, that concludes our conference. Thank you all for your participation.